Operator: Welcome to the Sinch Q4 Report for 2024. For the first part of the conference call the participants will be in listen-only mode. [Operator Instructions] Now, I will hand the conference over to CEO, Laurinda Pang; and CFO, Roshan Saldanha. Please go ahead.
Thomas Heath: Thank you, operator, and welcome everyone to this Q4 earnings call with Sinch AB. My name is Thomas Heath, I'm Chief Strategy Officer. And with me today I have our CEO, Laurinda Pang, and our CFO Roshan Saldanha. With these opening remarks, I want to hand the word over to Laurinda.
Laurinda Pang: Thanks very much, Thomas. I'm pleased that Jonas Dahlberg is also with us today as an observer. Many of you know that Jonas will be joining Sinch as our new CFO, latest on April 1. And I'm pleased he's able to join us today as part of his transition. So welcome, Jonas.
Jonas Dahlberg: Thank you.
Laurinda Pang: So let's turn to Slide 2. Our ambition is to pioneer the way the world communicates. And as a global leader in digital customer communications, we are enabling brands to reach, connect and engage with their customers across multiple channels to handle both the intimate conversations and to cut through the massive amounts of information that customers get exposed to every day. And we do this with ease and efficiency. We handle more than 800 billion unique customer interactions per year for more than 175,000 business customers. And over the past 12 months we generated SEK28.7 billion in net sales, SEK9.7 billion in gross profit and SEK3.6 billion krona in adjusted EBITDA. Slide 3, please. First, I'd like to remind you of the guidance we provided at our Capital Markets Day in November. By the end of 2027, we will grow net sales and gross profit each by 7% to 9% organically on a year-over-year basis. We will deliver adjusted EBITDA margins in the range of 12% to 14%. Additionally, we maintained our financial leverage policy, where our net debt over time will be less than 2.5 times adjusted EBITDA on a rolling 12-month basis. In the fourth quarter we delivered at the upper end of the near-term outlook we provided in Q3. Specifically year-over-year and organically, meaning without the effects of foreign exchange. Net sales grew 3% and gross profit grew 1%. Adjusted EBITDA margins were 13% for the quarter. EBITDA margins were 4% in the quarter because of the one-time historical tax provision of SEK700 million covering multiple previous years. Without this provision, the underlying EBITDA margin would have also been 13%. Roshan will provide more details, so I will just say that this provision is one-time in nature. We are proactive in our approach to mitigate future risk and we are not under any audit or tax assessment in any of the relevant jurisdictions. Most importantly, our reassessed position will not affect our profitability, our competitiveness nor our ability to meet our financial targets. So, continuing with the underlying performance, cash conversion remained very strong at 66% for the last 12 months, delivering SEK905 million in cash flow from operating activities in the quarter and SEK2.9 billion for the full year. Our leverage ratio continued to improve to 1.5 times net EBITDA or I'm sorry, net debt to adjusted EBITDA. We delivered the final tranche of cost savings we initiated at the start of 2024. In total, we achieved SEK352 million in gross savings on a run rate basis, which was ahead of our original target of SEK300 million. Finally, a quick comment on our transformation agenda. In the quarter we made steady progress across the pillars of go-to-market, product integration, and operational excellence, and we'll continue to pursue these areas to improve our execution and accelerate growth. Looking ahead to 2025, our focus is on growth and delivering towards our midterm financial targets. Maintaining cost control allows us to point our resources towards our key growth levers. Those levers are first expanding an enterprise, meaning nurturing and acquiring relationships with large brands. Second, furthering our capabilities in self-serve to meet the needs of both developers and SMBs. Third, winning in rich messaging and the email space with our differentiated position. And fourth, investing in partners and ecosystems to further scale the business. AI is an integral part of our strategy, both on the growth lever and efficiency front. We are leveraging AI to enhance our product capabilities, drive automation, and improve internal efficiencies, enabling us to scale smarter and deliver more value to our customers. Let's move to Slide 4 please. It's now a full year since we transitioned from a business unit structure to a more integrated organization. The three regions form our operating segments with Americas contributing more than 60% of total gross profit. The product categories, including our API Platform, Applications and Network Connectivity, with Applications slightly increasing its share of our total gross profit at 23% from 22% in 2023. The functional split of adjusted OpEx has remained stable year-over-year, although we expect to drive towards sales and marketing, as we invest for growth and unlock further operational efficiencies with the operational parts of R&D. Let's look a bit closer at the regions by turning to Slide 6. Americas accelerated organic growth and net sales of 5% in the fourth quarter. However, gross profit declined by the same percentage. This is largely due to higher gross margins in the comparable period last year, in both API Platform and Network Connectivity. API Platform gross profit performance was also driven by changing destination mix, and pricing pressure for SMS traffic. Network Connectivity, on the other hand showed significant improvement in the quarter, particularly, compared to earlier in the year, when we were challenged by significant price increases from U.S. suppliers, and has now been addressed through commercial negotiations. As we mentioned last quarter, we expected to start seeing the underlying growth in EMEA API Platform outpaced the negative impact of some fixed-price contracts we exited. In the fourth quarter, EMEA delivered 2% organic net sales growth. Gross profit grew by 13% year-over-year, driven by strong API Platform performance and aided by a weaker comparable period last year, effectively the opposite effect of Americas. For this quarter, net sales growth percentage is a better representation for the underlying performance of EMEA gross profit. In APAC we saw a 5% decline in net sales driven by a decline in lower-margin SMS revenue in India, while the rest of APAC as well as OTT and email revenue in India grew. As a result, gross profit grew 8% for the region on an organic basis, driven by the positive developments in revenue mix. Roshan will provide more details in the gross margin development between regions in his section, so I will simply remind you that this is the last quarter comparing to pro forma restatement. Broadly speaking, we had positive developments in each of the regions in Q4 relative to product launches, partnership momentum and new customer wins. You can see a few listed on this slide. While we can't disclose the names of all of our customer wins, I am pleased with the momentum we are starting to see in each market. Slide 8, please. The applications product category held a steady growth at mid-single digits year-over-year, but our expectations are higher. The development was similar across the regions. In API Platform development was mixed between regions and products. From the product perspective, email contributed strongly but this was offset by SMS development in India and the U.S., the latter affected by changes in destination mix, low margin, political traffic, and pricing pressure. As mentioned earlier, EMEA performed strongly in API platform, also aided by a weaker comparable period last year. Across API we have initiatives designed to improve performance. Network Connectivity significantly improved compared to prior quarters and ended the year flat compared to Q4 of '23. If you recall, at the start of this year, Network Connectivity gross profit was negative 18%, mostly driven by supplier price increases. This has now been offset by successful negotiations and the passing on of remaining price increases, combined with a strategy to reduce our dependency on this technology. Next slide please. Recently we held our first Capital Markets Day, and as a leader in digital customer communications, we are part of a market sized at $85 billion with expected growth of 8% to 9% over the next five years. I spoke about how we are transforming our business to re-accelerate growth through three pillars of go-to-market, product integration, and operational excellence. We also discussed how we create value for our shareholders through focusing on sustained growth, EBITDA expansion, and continued high cash generation. So those are just reminders. I'd like to share some updates regarding the key levers for growth. Email continues to do very well. We have further built out self-serve capabilities and during this quarter we launched Elastic SIP Trunking which is now resident in our Sinch dashboard and improves our voice offering. We launched our Sinch Engage platform in France, Germany and Spain that supports SMS, RCS and WhatsApp primarily serving SMBs. And we have added integrations to third-party ecosystems around digital identity with new connectors to Okta and Auth0. Next slide please. A bit about RCS. RCS messaging is continuing to gain momentum. Through 2024 we have sent 1.1 billion messages and it's growing. In EMEA, RCS traffic has grown by 60% since Q3. In the fourth quarter we signed agreements with several additional mobile operators in Europe and Americas, and in fact we can now send RCS business messages through two of the three major mobile operators in the U.S. There are three progressive messaging categories here, Basic RCS, which is a simple upscaling of SMS that includes verified sender status and logos. Single RCS leverages rich media and conversational RCS is where the magic of true customer engagement happens. France continues to shine brightly for more advanced use cases, and here I'm highlighting Clarins, a European luxury skincare brand, and how they leveraged RCS to create personalized, engaging customer experiences through the holiday season. The skincare industry is fiercely competitive and as customers demand more personalized interactive communications grows. Clarins saw an opportunity to differentiate using RCS business messaging. The results are compelling where they increased engagement by 2.5 times. The campaign generated 79% read rates, 22% clickthrough rates and 3.5 times more redirections in rich SMS campaigns. Higher engagement and increased revenue are the tangible results that will drive more brands into the open arms of RCS business messaging. With those remarks, I want to hand the word over to Roshan to take us through the financials.
Roshan Saldanha: Thank you, Laurinda. Very, very good afternoon to all of you on the call, and let me start by reviewing our financial development for the quarter by moving us to Page 12. Net sales for the third quarter were up organically in constant currencies by 3% year-on-year. This can be compared to a year-on-year organic growth in net sales of 2% in the previous quarter. We see volume picking up in our core products, driving up net sales. Looking to the regions, Americas grew 5%, EMEA increased 2%, whereas APAC declined by 5%. In Americas we have seen a sequential increase in net sales growth. This is driven by volume increases in API Platform and price increases in Network Connectivity. Organic net sales in EMEA grew as the impact from us exiting some fixed price contracts reduces sequentially and is completely rounded off in comparable periods from Q1 of 2025. For APAC, the decline in net sales is due to reduced sales in API Platform where a reduction of SMS sales in India is only partly offset by increased sales in other parts of Asia. Future growth in India is expected to be driven mainly by RCS, email, and advanced enterprise solutions. Please turn to Page 13. Gross profit grew 2% on a reported basis and increased 1% organically in constant currencies to SEK2.6 billion. Growth in Americas region was down 5%. EMEA was up 13%, whereas APAC grew at 8%. In Americas, the negative gross profit trend in constant currencies is due to weaker performance in API platform, specifically SMS, and is exacerbated by a relatively high gross margin in the comparison period. Gross profit in Network Connectivity was unchanged in the quarter. This is a clear improvement compared to the earlier quarters this year and it was achieved through successful negotiations with customers and suppliers, which also reduces the risk of future cost increases. In EMEA, gross profit improved in all three product categories compared to the same quarter last year. As the increase in gross profit is largely driven by the unusually low gross margin in the comparison period, we have concluded that organic growth in net sales better represents the underlying performance in the region during the quarter. In APAC, the gross profit growth is attributable primarily to an improved gross margin. The growth is driven primarily from the growth in our Asian markets. In India, as we said in Q3, we are seeing a lower growth rate now than we did a year ago as our largest customers look to optimize volumes. It is a competitive market where we have a strong position and we remain positive to its long-term outlook. Looking at the three product categories, applications grew 4% whereas API Platform and Network Connectivity were flat year-on-year in constant currencies. Next Slide 14. One of our main product categories is Network Connectivity. It accounts for about 20% of gross profit in the quarter. Specifically, Network Connectivity in the Americas accounted for 17% of gross profit for the Group and consisted largely of products within the U.S. voice business targeting telecom operators. Cost increases for legacy voice network connections impacted gross profit from Q1 where we reported a 18% decline in year-on-year gross profit. We have reduced this decline sequentially through the year due to good progress in our negotiations with those operators and price increases towards customers. Above all, we have reduced the risk for large increases of costs going forward. We're also reducing reliance on legacy connectivity through service virtualization, and will continue to use pricing as a lever to manage profitability which is the key focus for this product area. From Q4 and onwards there is no year-on-year growth impact from the 8YY Toll Free Calling Reform. Let's turn to Page 13. This slide shows the gross margin development for the business. Gross margin was stable and decreased slightly by 10 basis points over the same period last year. The reason for the slowing growth in gross margins is due to the decreasing margins within Network Connectivity as explained previously in this presentation. We still see strong gross margins in both the applications and API Platform product categories. On the right side of this page, you see the gross margin per region. The 2023 financials per region were prepared on a pro forma basis. Gross margin in all regions in the comparison period was impacted by business and traffic mix within API platform. Gross margin has been more stable in 2024. The unusual mix in the comparable period boosts gross profit growth in EMEA and reduces it in Americas this quarter. However, again looking at a gross margin at a Group level, it continues to be stable. Let's turn to the next page. EBITDA margin for Q4 at 4% is down year-on-year from 11% due to the SEK700 million one-time provision for prior period tax exposures. I will be coming back to the one-time provision shortly. Excluding this one-time provision, underlying EBITDA margin improved to 13% on the back of continued cost control. While we have reached the initial cost savings that were envisaged due to our change in operating model, we expect these savings to be invested in growth initiatives. EBITDA adjustments are primarily related to integration costs, share-based incentive programs, and operational foreign exchange gains or losses. Looking specifically at integration and restructuring costs, together they ended up at SEK301 million for the full year, against the SEK300 million that we had guided towards. Adjusted OpEx, defined as the difference between gross profit and adjusted EBITDA increased by 3% to SEK1.579 billion which is compared to the same period in 2023. This increase is partly due to the planned growth initiatives described earlier this year. Adjusted EBITDA for the quarter came in at SEK1.03 billion compared to SEK996 million for the same period in 2023. And the margin for -- adjusted EBITDA margin remains stable year-on-year at 13%. Let's now turn to Page 15. Yesterday we announced that the Company will record a SEK700 million one-time provision for historical non-income based taxes. Our businesses have for many years charged taxes and fees to our customers in many jurisdictions and for many products and then filed those with relevant authorities. Sinch operates multiple legal entities that offer similar or related services to customers within the same jurisdiction. Based on inconsistencies observed by our teams, we proactively initiated a review of the Company's current position and previous practices going back several years and in some cases all the way back to periods prior to acquisitions. We operate in a complex global environment where authorities are continually clarifying tax legislation and how it applies to services like the ones offered by Sinch. We have therefore decided now to mitigate future risks, by changing how we treat these non-income-based taxes in certain jurisdictions. This change means that we have a liability for multiple previous years and hence, we have made a provision for this exposure. I want to reiterate that Sinch is not currently subject to tax assessment or audit in any of the jurisdictions relating to this provision. We have the contractual right to recharge customers these kinds of taxes and fees. We are recording this one-time provision since we do not intend to retroactively charge all these taxes going back multiple prior years. However, going forward we will do so. To provide an understanding of the customer impact for the relevant jurisdictions and scope of our business, the annualized going forward charge is expected to be in the low single digits compared to net sales. Hence, we do not expect that this change will affect the Company's competitiveness or ability to meet its financial targets. Since these taxes and fees are non-income based, they do not affect the Company's effective income tax rate. Also, if we had applied these charges as per this change position in prior years, it would not have had any impact on our cash flow since we would have simply passed on these to our customers. With that, let's move on to Page 16, where we show the continued strong free cash flow after investments generating SEK734 million in the quarter and SEK2.4 billion for the full year of 2024. Net working capital causes variation between quarters and cash flow before changes in working capital is stable. Our cash conversion in the quarter is helped by positive working capital impacts of SEK292 million and SEK614 million during the full year. Sinch has previously announced a decision to cancel certain fixed-price contracts with telecom operators which has had a positive impact on working capital throughout the year. In the graph to the right, we show cash conversion from adjusted EBITDA on a rolling 12-month basis, which was at 66% at the end of Q4. While we still believe that our target range is 40% to 50%, we are delivering above that range due to optimization of working capital. Our business continues to operate in a very asset-light fashion with negative net working capital at year-end. Let's move to Page 17. Here we see the development of the financial leverage ratio for Sinch, which is net debt over adjusted EBITDA. We are glad to report a continued deleveraging as expected with leverage now down to 1.5 turns compared to 2 turns a year ago and 1.6 turns at the end of the previous quarter. This KPI is measured using -- excluding the impact of IFRS 16 related lease debt on both net debt and adjusted EBITDA. We have paid down debt by SEK2.1 billion during the last 12 months and SEK4.3 billion over the last 24 months. At the same time we have been deleveraging. We have also actively managed and diversified our debt portfolio. Together this has meant that we reduced net interest paid to SEK103 million compared to SEK156 million a year ago in the same quarter. As we stated at the CMD, cash generated from the business will be used to reduce debt, finance acquisitions, and also return cash to shareholders. I want to reiterate here that the one-time provision we recorded today is about a third of our annual cash generation and does not have any significant impact on our financial model or balance sheet strength. Please turn to Page 18, where we give details on our debt portfolio and maturity schedule as at the end of 2024. We had unutilized credit facilities of SEK5.5 billion, maturing in 2027, and unutilized short-term overdraft facilities of SEK886 million. During the quarter, a corporate bond of SEK673 million was redeemed early. Also after the end of the quarter, we replaced debt expiring in February 2025 and secured a new two-year $100 million loan. In addition to the debt portfolio shown on this page, we had cash and cash equivalents of SEK1.1 billion at quarter end. As you see, our available cash and committed credit facilities at quarter end more than exceed maturities during '25 and 2026 of SEK2.7 billion, even before considering any further cash flow generation from the business. So, with those words. I would like to hand back to Laurinda to take us through the financial targets and summarize the presentation.
Laurinda Pang: Terrific. Thanks, Roshan. So, before we take questions, let me summarize the quarter. Sinch is a stable and performing business. We have stable margins, strong cash generation, and a strong balance sheet. Net sales in the quarter grew 3%, and gross profit grew 1% year-over-year. We continue to manage costs delivering 13% adjusted EBITDA margins. We delivered ahead of the near-term outlook we provided last quarter. We had some good customer wins in the quarter pointing to good momentum in the business. We also continued with strong cash flow throughout the year, delivering full-year operating cash flow of SEK2.9 billion and we continue to reduce leverage from two to 1.5 times throughout the year. While the historical tax provision negatively impacted the quarter and full year EBITDA, this will not impact profitability going forward, our ability to compete nor our mid-range targets for 2027, and our financial framework remains intact. We are focused now on executing our plans and winning in the areas we have a right to win, enterprise expansion, self-service, RCS and email as well as partners and ecosystems. So, before ending I want to recognize this is the last call with Roshan and Thomas participating. I want to thank them both for their many contributions to Sinch, and especially for their partnership that I've enjoyed over the past two years. But I am also excited to welcome Jonas to the team and both he and I look forward to speaking with you again in the coming quarters.
Thomas Heath: Thank you, Laurinda. We will now open up the call for questions. We ask that you limit yourself to one or two questions each so that we ensure that we have time for everyone.
Operator: [Operator Instructions] The next question comes from Akhil Dattani from JPMorgan. Please go ahead.
Akhil Dattani: Yes, good afternoon. Thanks for taking the questions. I've got two please. The first one, Laurinda. Laurinda, you mentioned the Q4 performance that you've had exceeded the short-term targets you'd set. I guess I'd love to understand what's driven that and how we think about what that means going forward. As you said in a Q3, you had indicated that you had expected Q4 gross profit to be flat to negative you've grown. If you're talking about incremental contract wins, does that also mean prior commentary you gave on 2025 is also now too prudent? You had previously said, you're expecting a slow start to the year. So is that also sort of maybe too prudent. So if you could just sort of give us color on what's happened and then I guess what that really means for the next couple of quarters. And then the other question was for Roshan around the tax provision. I just wanted to understand some of the comments he made. Roshan, you said that going forward you're able to pass this on to your customers, and you made some comment around a low single-digit change. I just didn't know what that low single digit was. Maybe you can clarify what that is. But I guess what I'm trying to understand is, does that implicitly mean you're raising prices for customers? Do you know if this tax impact also applies to your competitors? And I guess what gives you the confidence if you're raising prices that will stick? Thanks a lot.
Laurinda Pang: Thanks, Akhil. Appreciate the questions. And so I'll certainly take the first one. So, Q4 performance. Yes, I'm quite pleased. And to your point, when we provided an outlook in the third quarter, we did say flat to slightly down. We came in at 1%. I wouldn't say that is a big, it's not a big jump from flat. Having said that, I'm very pleased. I wouldn't say anything dramatic changed in the business per se. I think what it came down to was execution. And we drove really hard to be able to deliver that 1% growth. I am pleased with the 3% net sales growth and I do see some momentum coming out of the quarter. As you know, with our enterprise wins, they do take a bit of time to onboard and for them to actually translate into GP. So the momentum that I point to in the fourth quarter continue to kind of follow the spectrum of leading indicators. Right. Earlier in the year I talked about pipeline, we talked about, some deals won and now I'm talking about some very specific enterprise wins that are, that are positive. And so then those will eventually translate into gross profit for us. In terms of Q4 -- Q1. I think you used the words, is it too prudent? I'm not saying anything other than, we've had some good momentum out of Q4. We continue to strive towards our midterm targets of 7% to 9% by the end of 2027. And as we said, we have to show a trajectory towards that. Right. It doesn't happen overnight. So I feel good about Q4 and I don't expect anything to change go forward.
Roshan Saldanha: Yes. And, hi, Akhil, I'll take your second question. Try to give it a shot. I think, what I said is that, firstly, yes, we will be passing on a go-forward basis, taxes and fees to customers on our products and services. I think it's important to understand that we already do in many jurisdictions around the world and on many of our products, charge taxes and fees on those products. That depends a little bit on how we classify and how we define that product in light of the applicable legislation in that jurisdiction. Right? So, what might happen in many cases to customers is that, this implies a change in the amount or percentage of fees that they're paying, but it might not always be a completely new item. Secondly, I think it's important to note that we contractually have the right in all of our customer contracts to be able to charge taxes and fees. And as they're applied at different points in time and what I try to then give is to give you a relative sense of the sizing because I think, when we look at the amount of the provision that we've taken that covers, multiple prior years and therefore, try to say that when we look at the relevant part of our business, and we equate this to the revenues that we generate from our customers in the relevant parts of our business, these amounts would equate on an annualized basis to something in the low single digits of that revenue. I think, finally, just to close off here, right, I mean, prices are often negotiated, excluding tax, and then taxes and fees are added on top. So I think again, how competitors may or may not deal with this is something that I -- we don't have full insight into. It's always kind of complicated structure depending on how the competitors define their business, et cetera. So, we don't know. But I think what's important for us is, we do the right thing here we've arrived at this position because we have multiple approaches coming from various acquisitions which may have been right at different points in time, in the historical periods. And we've noticed these inconsistencies and we want to kind of have a common approach to this -- in each of the jurisdictions and that's what we are addressing on a go-forward basis.
Akhil Dattani: Great. Roshan, can I just clarify one point to that? Just from what you're saying, does that mean that contractually you can immediately apply the change or do you need to wait until the contract's up for renewal and you renegotiate? I didn't quite understand that point.
Roshan Saldanha: No, our contracts allow that, so we don't have to wait for any renegotiations.
Akhil Dattani: Super clear. All right. Thanks so much.
Operator: The next question comes from Ramil Koria from Danske Bank. Please go ahead.
Ramil Koria: Thank you guys and thank you for taking my questions. Perhaps I'll do them one by one. Just if you could elaborate a little bit on the topic of sort of SMS weakness in the U.S. and in India would be quite interesting to hear a little bit on that. Because if you just calculate backwards in 2023, it seems like the API messaging business did 18% gross margins. And if there is price competition and price-conscious customers, I'd like to understand a little bit more where these customers are now going. Who is offering prices below your 18% gross margin?
Roshan Saldanha: Yes, hi, Ramil, Roshan here. I can try to at least start us off on these, on these two topics, I think firstly, it's important to understand, I think that in the Americas and I'll take the market by market, you asked about the Americas and India. So if we start with the Americas, I think we did mention that in Q3 already that we were seeing some pricing pressure in the API Platform and specifically the API Platform in the SMS business. Again, it's important to note that this is not all customers. We're seeing that in specific cases. But in general, kind of there is pricing pressure. This is also why, partly we are excited about the renaissance of messaging, as Laurinda, calls it, with RCS and the additional value that we can deliver to customers. And how do we go on that journey, right, going forward together with customers? In India, I think we've had a great journey for several years. Obviously, we're at a point in time where I can say that the SMS volumes in India overall as a market still continue to grow. We have a concentration in India with a focus in certain segments, and there we are seeing definitely customers becoming a bit more cost conscious. At the same time, we're seeing from relatively low volumes, quite good growth in newer messaging technologies like WhatsApp and RCS in India, as well as kind of we're using the opportunity to bring more of our applications and partnerships into India as well. So, there is potential in the market overall. But at the moment, there's some weakness from your growth perspective.
Ramil Koria: Okay, that's clear, Roshan. And just the briefest of follow-ups on that. This -- the change of tax-based income that you will recognize moving forward. Could you say anything about the incrementals in terms of, the invoices that haven't been affected historically? Is that -- does that, -- is it more SMS where I would assume price elasticity with customers is a bit higher or is it more broad-based than that?
Roshan Saldanha: Yes, I think we're refraining from giving any comments on kind of jurisdictions or products. I think, we're still the way this works. Of course, we have to kind of treat this from an accounting perspective and disclose this year and then we have a number of processes ongoing which we would like to complete before going into more details. So, with respect to those processes, I would like to refrain from going to more details.
Ramil Koria: Okay, okay. And then just finally on the topic of cash generation and, and working capital movements, I mean clearly been a very, very positive trend there. And as you alluded to working capital sales is now negative. Do you think that the current levels sort of in relation to sales are sustainable or should that fluctuate moving forward?
Roshan Saldanha: Yes, okay.
Laurinda Pang: It's definitely your space.
Roshan Saldanha: Thanks.
Laurinda Pang: We're pointing at each other.
Roshan Saldanha: Yes. So though I do think, I mean, obviously it's difficult, there's a lot of movements in a large business like this. Right. And we'll like, I think a couple of quarters ago we called out, kind of one of our large customers making some payments earlier, which landed on the right side of the quarter. Right. For us in the, in the second quarter and then actually had a, kind of a negative impact in the third quarter. But we still delivered, really good working capital improvement in the third quarter, I would say despite that, right? So, there will always be a little bit of noise. We have large enterprise customers with large invoices and we have, kind of large suppliers. And depending on how, kind of the cash impacts fall out, there can be a bit of noise from quarter-to-quarter. But I'm, I'm still very comfortable that we have a number of drivers, long-term to continue to deliver good cash flow. First of all, the underlying cash flow is a bit strong and stable before changes in working capital. In addition to that, we've seen interest costs reduced. I called out, interest costs going from SEK150 million to SEK100 million. We're seeing that some of our fastest growing areas of the business, like self-serve, there's a tendency to have shorter payment cycles within self-serve which enables, kind of a lighter working capital business as well. So I'm confident that, there's a number of levers that we can as a business continue to work with and continue to deliver, good cash flow. Then again with reservation for, kind of short-term noise right from one quarter to another.
Ramil Koria: It's very clear. Thank you guys and Roshan and Thomas, it's been a pleasure, Best of luck.
Roshan Saldanha: Thank you very much.
Thomas Heath: Thank you.
Operator: The next question comes from Stefan Gauffin from DNB. Please go ahead.
Stefan Gauffin: Yes, hello.
Laurinda Pang: Hi, Stefan.
Stefan Gauffin: I have a question regarding the API Platform in EMEA, if you can help us understand the development, given the fairly new segment reporting. So, first, last year sales was basically flat quarter-on-quarter, and this year it's up 13% quarter-on-quarter. So this could be due to seasonality given Black Friday, Christmas campaigns, etc. Secondly, in Q1, this segment was impacted by you voluntarily exiting low-margin business, and that resulted in negative sales growth for this business. And now this has turned to meaningful growth year-over-year. So could you help us understand what is seasonality and what is sort of the underlying improvement in growth?
Laurinda Pang: Sure. Thanks, Stefan. I'll start and ask Roshan to fill in if you need to. First of all, I think there's a couple of things. First, GP is up 13%, sales is actually up 2% year-over-year. And what we're saying is sales, the sales growth of 2% year-on-year is probably more representative of how GP should have improved. Sorry, there is background. Sorry, there's background noise. So, that's the first aspect. The second piece is to your point, we did exit some fixed price contracts earlier in the year, and we did say that as those started to taper down, the underlying growth in API Platform within EMEA would start to, - we'd be able to start to demonstrate the growth. It would outpace the declines in those fixed-price contracts. So, that's kind of the shift in the customer mix has translated into ultimately 2% net sales growth, on the gross profit growth of 13% in the fourth quarter. It is -- some of that certainly is from overall API growth, but it also is because of the pro forma or the comparable period in Q4 of last year. Roshan showed a slide to break it out by region to try and demonstrate the fact that, our the pro forma statements or restatement of the business really did, - there was a distribution mix in there last year. There was a number of things that, placed the pro forma where it was. And so you saw the opposite effect happen in North America. So while EMEA benefited, Americas went through other way. And again, it does come down to the pro forma. But Roshan, do you want to say anything about --
Roshan Saldanha: Yes, I think I can just add very briefly. I mean, thanks for calling that out, Stefan. I think, just to add, as we said. Do you still hear us?
Stefan Gauffin: Yes, I think it's noise in the background.
Roshan Saldanha: Okay. Yes. So, I think, as we said. Right. I think the net sales development, that we see in EMEA is more representative of our underlying business development. And I think, the other thing I would like to add is that yes, we have seen a positive trend during the year in EMEA, partly related to the fact that we were rounding off the comparables on the -- on the low margin contracts, but also partly related to the, to the healthy underlying development of the business. And so we are positive, to that trend continuing during 2025 as well.
Laurinda Pang: But the trend of it should be based off of the 2%, not 13%.
Roshan Saldanha: Correct.
Stefan Gauffin: Okay. Perfect. Thank you.
Laurinda Pang: Thank you, Stefan.
Operator: The next question comes from Laura Metayer from Morgan Stanley. Please go ahead.
Laura Metayer: Hi. Thank you for taking my question. Two, please. First one is on margin. So you're at 13% adjusted EBITDA margin today. So that's, I think it's half like midpoint of your midterm guidance. Any color you can give us to help us understand the trajectory of margins. I think I remember that you said a few quarters ago or even last quarter that you expect to increase investment in OpEx in 2025, is that still the case or how should we think about it? And then second question on cross-selling, any color you can give us here on what you've achieved, any data that you could share would be really helpful. Thank you very much.
Laurinda Pang: Sure. Thanks, Laura. And first of all, in terms of margin at 13%, obviously we're very pleased to be able to deliver that. And that's really a function of controlling costs. And we've also said that we're committed to, growing this business profitably, which is why we put the range out of 12% to 14%. We do see the need to invest in the growth areas, and we've started to do that. But it's really a bit about reallocation of resources and focusing resources in the growth areas. And then we'll, of course, - we will maintain at those margin levels, which does require an increase in OpEx, quite frankly, because as the business grows, we'll continue to invest, but we will maintain those margins. And I don't know if you want to say anything more than that. Okay. As far as cross sell, Laura, some of the customer wins that we saw in fourth quarter, that is given, that's demonstrating some momentum was exactly that, it was cross-sell. So, these are existing relationships that are purchasing a second or third product from us, at a meaningful level. And -- but they take a long time to -- they take a long time to develop. So we're pleased that they did close and then, it will take a little bit of time for them to actually ramp up and translate into a financial result of delivering gross profit itself. The other aspect, I would say, as well as meeting with customers out in the markets, it becomes increasingly clear to me that the desire for enterprises to have all of the channels of communication to, put and use within their customer experience strategy is it's becoming more and more the norm. And so the great thing is, is that Sinch has all of those channels. And so the narrative that we have with our customers now is about use cases, not about products. And so across those use cases does come multiple products. And so -- and that turns into an actual solution for those enterprises. So I'm pleased with the movements here.
Laura Metayer: Thank you.
Operator: The next question comes from Victor Cheng from Bank of America. Please go ahead.
Victor Cheng: Hi. Thanks for taking my questions. Maybe two, may have been asked already. So, I guess first of all, on Sinch Engage, I guess it's still early days, but you have launched it already. Can you talk a bit about that early momentum and where and when should we expect kind of maybe some more meaningful contribution from it? And then secondly, related to this, you also obviously talked about some of the green shoots during CMD, and I think you talk about a bit of a slow start expected in '25. Any changes on that front? What are you seeing? I guess, I mean, you have alluded to it already, but if you can provide some more color on that.
Laurinda Pang: Sure. I'll take the green shoots question first and then I'll ask Thomas to give a bit more color on Sinch Engage. Again, throughout last year or throughout 2024, the business itself was going through a tremendous amount of change. We call it transformation, but it just comes down to plain old change for the team and, broadly across the organization. And so that did create slowness in our business because, people were in new positions, people had new responsibilities, new managers, et cetera. So that does take time to settle in. But in terms of momentum, the green shoots that the regional presidents provided to you all during CMD, they talked about pipeline creation, funnel creation, they talked about, some of the customer use cases that were compelling. All I can say is that that's continued. I don't have the updated stats across those specific green shoots that they called out. But the momentum that we saw in the quarter included some customer wins, but it also included green shoots around product launches, very specifically around the partnerships that we are developing, both in terms of, relationships with mobile operators for RCS, but then also in terms of integrations to be able to leverage other software providers to go to market and really scale this business. So I would say that, we continue -- obviously we need to continue to execute, but, we saw some good points of positivity in the fourth quarter. As far as Sinch Engage is concerned, we did announce in the fourth quarter the release in Europe, which is across the three countries of Sinch Engage in Spain, Germany and France but Sinch Engage exists. So, this is really an expansion of that capability into new markets. And it is, - so it's a proven product for us. We've had great traction from it. How fast we'll see it in each of those particular markets, I can't say. But I would say that, there's market fit that we're looking for and, again, the product works and the product is quite successful in all of the other markets that we do business with already today. Thomas, anything you want to add?
Thomas Heath: No, that's correct. Of course. I think we had a few quarters back where we detailed a little bit of the integration journey that we've been on. So Sinch Engage, ultimately it's a multi-channel communications software, turnkey software which spans all the different channels and it builds on many of the assets that are proven, as Laurinda said, including MessageMedia, SimpleTexting, Mailjet, and so forth. Really the centerpiece of our application strategy. Very fun and positive to roll it out across more markets. Not least now as we see RCS emerging. And this of course, helps enterprises utilize the more advanced features of RCS.
Victor Cheng: Okay, got it. Thank you.
Laurinda Pang: Thanks, Victor.
Operator: There are no more questions at this time. So I hand the conference back to the speakers for any closing comments.
Laurinda Pang: Okay. Thank you everyone for joining us today. We appreciate all of the questions and interest in Sinch. And we will look forward to seeing you or speaking with you again in a quarter. Have a great day.
Roshan Saldanha: Thank you.
Thomas Heath: Thank you.